Operator: Hello, everyone, and welcome to VTEX's Earnings Conference Call for the First Quarter of 2025. I'm Julia Vater Fernandez, VP of Investor Relations. Joining me today are Geraldo Thomaz Jr., our co-founder and co-CEO, and Ricardo Camatta Sodre, our Chief Financial Officer. Also joining us for the Q&A session are Mariano Gomide de Faria, co-Founder and co-CEO, and Andre Spolidoro, Chief Strategy Officer. Before we begin, please note that today's remarks may include forward-looking statements. These statements are based on our current assumptions and projections, and actual results might differ. Additional information regarding risks and uncertainties is detailed in our Form 20-F for the year-end of December 31, 2024, and other filings with the SEC, all of which are available on our Investor Relations website. During this call, we may also reference certain non-GAAP financial measures. Reconciliation to the most comparable GAAP figures can be found in our Q1 2025 earnings press release, also available on our Investor Relations website. With that, let me turn the call over to Geraldo. Geraldo, the floor is yours.
Geraldo Thomaz Jr.: Thank you, Julia. Welcome, everyone, and thanks for joining our first quarter 2025 earnings conference call. We delivered a solid start to the year, despite the ongoing macroeconomic volatility. Subscription revenue grew 15% in FX Neutral in the first quarter. As we look ahead, the recent growth lines of key enterprise customers, combined with the continued progress in our product innovation and platform expansion initiatives, reinforced our confidence in the sustainability of our profitable growth strategy. In a seasonally softer quarter, we also delivered profitable growth and significant margin expansion. Our gross profit reached $41 million, a 22% growth in FX Neutral, and 3.7 percentage points margin increase year-over-year. Additionally, our non-GAAP operating income increased to $5.3 million, an 85% growth and 4.3 percentage points margin increase year-over-year. The strong operating income was supported by even stronger free cash flow generation of $6.6 million. Finally, our non-GAAP net income reached $5.3 million in the first quarter and $34.5 million over the last 12 months. I'll let Ricardo further expand on this financial shortly. VTEX continues to solidify its position as the platform of choice for global CIOs and CEOs, seeking operational efficiency and commercial agility. Enterprises choose VTEX for more than software, but for outcomes. Accelerated time to market, increased revenue, improved margins, and reduced complexity. Looking ahead, we're building a future for VTEX that goes even beyond that, a future where VTEX intelligent agents evolve into digital workers, autonomously managing core workflows and core across service, demand generation, and merchandising for our customers. We're not just adapting to the future of commerce, we're building it. Now, let me highlight a few commercial achievements of the quarter. In the first quarter, we successfully brought several new customers live, including Magazzino and LG in Argentina, Americanas, Apoio Entrega, Moda Colmeia, Oscar Calçados and Urban Performance in Brazil, LF10 in Colombia, Orocash in Ecuador, La Sirena in Spain, Berel and Procarga in Mexico, and GS1 U.S., and J.W. Pepper in the U.S. We also strengthened the relationship with existing customers. Bemol launched the new vertical, Bemol Pharma, now operating two stores in Brazil. Colgate launched a new store in Germany, expanding its VTEX presence across the Americas and Europe. Crocs launched a new store in Chile, now present in five Latin American markets with VTEX. Hearst launched Oprah Daily Shop in the U.S., expanding its Vitex presence to six stores. Levi's added Colombia, now present in six Latin American markets. And Mondelez launched a new B2B store in Spain and in Ecuador, expanding its VTEX footprint into Europe. Another noteworthy development this quarter, though not yet large, is that Manchester City Football Club has joined the VTEX platform. The club is currently implementing VTEX as the foundation of its official digital commerce strategy. We're supporting Manchester City in reimagining and streamlining its digital commerce experiences to deliver a seamless and intuitive journey for fans. This initiative will enable supporters to access purchase city-related experiences through a unified and efficient checkout process, whether online or via mobile. To build our own momentum in contract signatures and reinforce brand trust, we launched the Give You All campaign, featuring cricket icon Ravindra Jadeja as the VTEX ambassador. The campaign resonated strongly with CEOs and CTOs in the US. We approximately half have affinity for CUSC cricket, helping us connect with an influential and professionally relevant audience. We also hosted the second edition of VTEX Connect in New York City, our flagship event for senior commerce executives, held immediately following NIR. This year, we expanded the event's scope and quality, welcoming CEOs, CIOs, and senior executives from leading retailers. Simone Biles delivered the keynote fireside chat, joined by Brazilian Gymnastics Champion Rebeca Andrade. The event showcased our leadership in digital commerce and strengthened our relationship with partners and decision makers. In addition to its increased impact, the event was executed with greater cost efficiency. Supported by over 14 sponsors, VTEX Connect New York served as a strategic platform to deepen relationships with our partners and enhance VTEX's visibility among top industry stakeholders and engage directly with key decision makers within the NIR office. By gathering the industry's most influential voices and integrating global recognized figures, we continue to elevate VTEX’s position at the forefront of digital commerce transformation. We are also proud to share that VTEX was once again recognized as a customer choice in the 2025 Gartner Voice of Customers for Digital Commerce report for the second year in a row. This recognition is especially meaningful because it is based entirely on our customers' review, underscoring our platform's impact and reliability. This recognition, based solely on real customer reviews, highlights our ability to deliver exceptional product capability, ease of use, reliable support, and measurable business impact. In the landscape where choosing the right commerce partners is mission critical, being named customer's choice for the second year in a row reinforces VTEX’s position as the trusted, scalable, and innovation-driven platform of choice for global enterprises. Before moving on to our customer success stories, I'd like to revisit the concept introduced earlier. VTEX is evolving from a single platform into a comprehensive suite of commerce products, designed with serious interoperability at its core. This transformation underpins our positioning as the commerce suite of choice for both CIOs and CEOs globally. We're doubling down on our two high-impact product paths, B2B commerce and retail media. In the first quarter of 2025, we accelerated our retail media strategy with the acquisition of Newtail, a leader in Brazil retail advertising space. This added over 400 advertisers and brands to our network, including Casas Bahia, [Indiscernible] Kaboom, and Leroy Merlin, and positioned VTEX as a leading end-to-end retail media product. With VTEX Ads, we now offer a unified, high-performance solution that combines our composable commerce infrastructure with Newtail's Media innovation. Advertisers gain access to hybrid target inventory, detailed performance insights, and intelligent placements, enabling smarter targeting and stronger returns across the full commerce journey. We're building the next generation of scalable, data-driven retail media, and we're here to lead and consolidate this space. With that said, let's go into a couple of customer stories to put in a tangible way how we are working side-by-side with our customers to get meaningful business impact. Americanas, one of Brazil's most iconic and influential retail giants, chose VTEX to simplify operations and drive efficiency with innovative solutions, replacing some of the in-house development systems. Through VTEX’s out-of-the-box features and collaborations with specialized partners, we delivered a comprehensive customer solution tailored to Americanas' needs. This included robust omnichannel capabilities, marketplace integrations, and advertising tools. The solution streamlined processes, accelerated time to market, and significantly lowered the total cost of ownership. In addition to VTAX’s native capabilities, Americanas is also leveraging the strength of the VTAX ecosystem by integrating partner solutions, replacing certain legacy systems with more scalable alternatives. Following a detailed system analysis and close collaboration, we co-designed and streamlined future led architecture that enhances operation efficiency, supports rapid scalability, and aligns seamlessly with Americanas' long-term strategic objectives. The Americanas' win underscored the continued depth of opportunity within Brazil, a market where VTAX already had a strong presence yet still holds significant runaways from growth. It demonstrates that even in more developed geographies, there are remaining sizable, high-impact digital transformation opportunities for us to capture over the coming years. A leading frozen food retailer in Spain partnered with VTAX to modernize its digital commerce and bridge the gap between its physical stores and online presence. Seeking greater flexibility, the brand chose VTAX for its ability to manage complex catalogs and store-level logistics with ease. VTAX also enabled smooth integration with the customer's new loyalty program, creating a more intuitive and personalized customer journey. With marketplace capabilities and omnichannel features now fully implemented, they are delivering a seamless, connected shopping experience across every touchpoint. Cencosud, one of Latin America's largest retail groups, transformed its post-purchase experience in Brazil by implementing Weni by VTEX to automate out-of-stock product substitutions via WhatsApp. Initially launched with Presumique [ph] and quickly scaled to Brita's, Je Barbosa, and Mercantil, the solution enables real-time customer approval and delivers a 9% increase in the average order value of impacted orders. By streamlining communication and driving operational efficiency, Cencosud is delivering a smarter, more scalable digital experience across its brands. I'm also pleased to highlight a significant customer success that demonstrates the versatility and power of our platform. J.W. Pepper, one of the leading sheet music retailers in the U.S., has successfully transformed its digital commerce operation with VTEX, Facing industry-specific challenges such as complex product discovery and event-driven shopping, the company leveraged VTEX composable architecture and native headless CMS to build tailored experiences for educators and worship leaders. This empowered their business teams to accelerate content updates and reduce reliance on development resources. Rather than a full rebuild, we adopted a strategic approach, retaining critical legacy workshops while modernizing the core commerce journey through target integrations and specialized tools for digital licensing, personalization, and complex checkout flows. Today, J.W. Pepper operates on a flexible, scalable platform that supports a diverse customer base and adapts easily to seasonal demand patterns. This case underscores our ability to deliver impactful digital transformation in specialized high-complexity industry while preserving business continuity and maximizing ROI. Nestle, one of the world's largest food and beverage companies, drove strong results with VTEX ads to power retail media campaigns across key partners' channels. Confronted with limited visibility into retail sales performance, Nestle turned to VTEX ads for real-time insights directly from retailer platforms. This data-driven approach enabled rapid campaign optimization and stronger performance across categories. In its latest major campaign, Nestle achieved a 16.2% return on ad spend in the chocolate category. Beyond immediate impact, the initiative unlocked valuable strategic insights for future activations. With VTEX ads, Nestle streamlined collaboration with retail partners and showcased how real-time data can drive smarter decisions and stronger outcomes in a highly competitive market. Procarga, a leading distributor and manufacturer of lifting solutions in Mexico, selected VTEX to accelerate its digital transformations. Aiming to enhance the buying experience for B2B distributors and expand into B2C, the company is adopting a dual-channel strategy powered by VTEX. The new solution, built on VTEX’s composable architecture, delivers a modern self-service call-less experience focused on efficiency and scalability. It features custom UX-UI, ERP integrations, and mobile-ready access, ensuring a seamless journey across all channels. These initiatives mark a strategic move for Procarga, strengthening customer engagement and driving growth across Mexico's industrial and retail markets. Now I'd like to take a moment to express my gratitude to our 1,320 VTEX team members, whose extraordinary contributions propel us forward as the backbone for connected commerce. I'd also like to thank our valued customers, partners, and investors. I will now hand the call to Ricardo.
Ricardo Sodre : Thank you, Geraldo. Hi, everyone. I'm pleased to share VTEX Q1 2025 financial results. Before diving into the numbers, as a reminder, this is our first quarter reporting under U.S. GAAP. We published a reconciliation presentation in a Form 6-K on April 15, and a comparison of 2023 and 2024 financials under U.S. GAAP is available on our investor relations website. With that said, let's go to our quarterly numbers. GMV for the quarter reached $4.3 billion, growing 8% year-over-year in U.S. dollars and 17% on an FX neutral basis. This led to subscription revenue reaching $52.6 million, compared to $50.4 million in Q1 of last year, a 4% increase in U.S. dollars and 15% on an FX neutral basis. Now, moving down the P&L, we are pleased to announce the positive operational leverage achieved, even with the inherently softer seasonality observed in all first quarters. Our non-GAAP subscription gross margin reached 79% this quarter, up 191 basis points year-over-year from 77% in Q1 2024. This expansion reflects our continued focus on operational efficiency, with the most notable gains coming from customer support optimization efforts. Leveraging AI power automation, we were able to improve service quality while significantly reducing support-related costs. Our total gross margin, which includes services, rose to 76%, up 371 basis points year-over-year compared to 72% in Q1 2024. Our total gross margin improvement was mostly driven by the lower mix of services revenue in our total revenue, as we are relying more on our ecosystem to provide implementation services, and by the subscription gross margin gains I just mentioned. On the expense side, we maintained strong discipline. Non-GAAP operating expenses came in at $35.9 million, slightly up from $35.2 million in the same quarter last year, an increase of less than 2% year-over-year. This reflects stable sales and marketing and G&A expenses, while the increase in R&D was strategic, supporting our continued investment in product development and innovation. This discipline approach led to a significant improvement in profitability, with non-GAAP operating income reaching $5.3 million in Q1 2025, up from $2.9 million in Q1 2024, an increase of over 80% year-over-year in U.S. dollars. This translates into a 4% point margin expansion, bringing our non-GAAP operating income margin to 10% for the quarter. These results highlight the strength of our operating model and the consistent evolution of our financial profile. As we evolve on our profitability growth strategy, non-GAAP net income has become an increasingly relevant metric. In Q1 2025, non-GAAP net income reached $5.3 million and 10% margin, up from $2.4 million in the same period last year, more than doubling year-over-year and a 5.2% point improvement in margin. As mentioned by Geraldo, on a trailing 12-month basis, non-GAAP net income totaled $34.5 million, reflecting the ongoing strengthening of our profitability profile as we continue executing with discipline and scaling efficiently. Aligned with our non-GAAP operating income, as of the three months ended March 31, 2025, we had a positive $6.6 million free cash flow, compared to $1.6 million free cash flow in the same quarter of the prior year, reaching a free cash flow margin of 12% and a 9 percentage point margin improvement year-over-year. In the first quarter of 2025, regarding the one-year share repurchase program authorized by our Board of Directors on December 3, 2024, VTEXs repurchased a total of 2.7 million Class A common shares at an average price of $5.56 per share, representing an aggregate amount of $15 million. Considering the current and the previous year's share repurchase programs, the total executed amounted 15.2 million shares with an average price of $4.86 per share and a total cost of $74.3 million. As we move forward with our business outlook, we continue to navigate a macroeconomic environment marked by volatility in the same-source sales and GMV growth, increasing the uncertainty of projections. That said, we remain confident in VTEX’s profitable growth trajectory. VTEX is well-positioned to capture an attractive market opportunity, and we remain encouraged by our leading market positioning, platform expansion, and operational leverage. Considering this, we are currently targeting FX-neutral year-over-year subscription revenue growth of 12.5% to 15.5% for the second quarter of 2025, implying a $57 million to $58.5 million range. For the full year 2025, as we continue executing our profitable growth strategy, we continue to target FX-neutral year-over-year subscription revenue growth of 14% to 17%, implying a range of $238 to $244 million based on the average of April FX rate. We are targeting non-gap operating income and free cash flow margins of mid-teens. To wrap up, in Q1, we deliver solid subscription revenue growth. As indicated by our guidance, we remain confident in the strength and sustainability of our profitable growth strategy in Q2 and for the full year 2025, supported by e-new enterprise customers go live and our ongoing platform expansion. We will stay focused on discipline execution, leveraging our strong fundamentals and resilient business model as we continue to gain global traction as the backbone for connected commerce. We remain committed to delivering lasting value for our customers, partners, and shareholders. With that, let's open it up for questions now. Thank you.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] We'll take our first question from Marcelo Santos at JPMorgan. And Mr. Santos, your line is open. You may have yourself muted.
Marcelo Santos: Sorry, I was muted. Thank you for taking my questions. I have actually two. The first is you could comment a bit on subscription gross profit. You almost touched the target model of 79%, close to the 80% in a seasonally weak quarter. It is a sustainable gain going forward. And what are the main sources of the gain? And the second question is regarding headcount reduction. What are the main areas that are seeing headcount reduction at the company? Thank you.
Ricardo Sodre : Hi, Marcelo. Ricardo Sodre here. Thanks for the question. So on gross margin, we are pleased with the continued progress in our margin profile this quarter. In Q1 2025, as you mentioned, we delivered 190 basis point improvement in subscription gross margin and 370 basis point improvement in the overall gross margin on a year-over-year basis. These gains are particularly meaningful given the seasonality that's softer in nature in the first quarter, making the expansion both sequentially and year-over-year a strong validation of the scalability and the resilience of our business model. These performance reflects discipline execution on multiple fronts. A key driver has been the optimization of our customer support operations, as mentioned in prepared remarks, where we are seeing tangible benefits from the strategic use of AI. These enhancements are allowing us to both elevate service quality and materially reduce support-related costs, delivering a meaningful impact on gross margin. Another important contributor is the continued maturity of our global ecosystem of system-integrated partners. As our partner network scales and becomes more autonomous, we are increasingly shifting implementation services to these third parties. This is a strategic priority and we've been advancing over several quarters. It not only supports margin expansion on a total gross margin, not on a subscription gross margin, but on a total gross margin, and it also reinforces our asset-light, highly scalable operating model. On getting closer to the target, we just posted 79% subscription gross margin, so the target is 80%. We are going towards and approaching this target, but not yet there. Our margin expansion reflects the successful execution of our long-term discipline strategy. We remain focused on further strengthening our profitability profile while delivering value to our customers. If you could repeat the second question, please.
Marcelo Santos: The second was about headcount reduction. There was a sequential headcount reduction of 3.5% if I’m not mistaken. And I just wanted to know what are the main areas that are seeing this headcount cut?
Mariano Gomide : I can address. Mariano here. Actually, we see stability on the headcount, very small changes. The only meaningful change was in the support area, but this is a trend, so we see stability on headcount.
Marcelo Santos: Okay, thank you very much.
Operator: We'll go next to Maria Infantozzi at Itao. Maria, your line is open. Please go ahead. And you may have yourself muted. Hearing no response, we'll move next to Lucca Brendim at Bank of America.
Lucca Brendim: Hi, good afternoon, everyone. Thank you for taking my questions. I have two here on my side. The first one, in terms of the costs and expenses, we saw a significant increase in R&D, and I wanted to understand if there are specific new projects or a reason for this increase or if it's according to what was already expected for the company. Also, if you could give us an update on the expansion for the U.S., if you're seeing any differences or if you're continuing to see the same momentum we were having previously. Thank you.
Ricardo Sodre : Hello, thank you. I'll get the first one. If Mariano wants to get to the second one, I'll move to him the microphone. So, about our R&D expense increase, in the first quarter of 2025, our non-GAAP R&D expenses increased by 9.3% year-over-year, consistent with our stated strategy to invest in what we see as VTEX's greatest long-term differentiator, the product. This increase reflects our deliberate commitment to deepening and broadening our commerce platform. We continue to invest in expanding the DAF and completeness of our product suite, reinforcing our competitive advantage, both in B2C but most recently B2B as well, and support this scalable growth across multiple geographies that you can see and multiple customer segments. As we shared in prior quarters, we've been hamping our hiring in a measured and disciplined way, aligned with our product roadmap and strategic priorities. So, this quarter growth also reflects the normalization hiring activity, following periods of slower onboarding cycles, as well as the continued advancements of critical innovation initiatives. So, R&D remains central to our ability to win and retain enterprise customers, and also to unlock new cross-sell and up-sell opportunities through products like the one that I mentioned, B2B, VTEX ads, and others. So, it's not only necessary, but it's strategic. Beyond that, like every other company, the same software company in the world, we are investing highly in changing the way we design software, we build software with AI, and this is not only changing the way we design and build software internally, but it will change, and it's changing the way we interface with our customers, we interface with our partners. And it also informs the services and products that we will deliver in the near future. All of this requires a disciplined but extensive investment in R&D.
Mariano Gomide : I can answer about the U.S. sales. The sales motion is evolving in line with our expectations and with our long-term strategy. So, we are focusing on landing and expanding high-value enterprise customers, building durable relationships, and delivering innovation that really drives measurable business impact. So, we have a few high-impact signed logos that will be announced through the year, which we believe will further enrich the VTEX narrative and strengthen market perception. We, like the Manchester City Football Club, now under implementation, highlight the global relevance and scalability of the VTEX platform. These customers are not only large in GMV potential, many range in the hundreds of millions and even billions of dollars, but they also demonstrate our growing ability as a strategic partner in complex and high stakes. So, no, not a significant change, just a growing momentum in our brand in the deals that are being deployed.
Lucca Brendim: Very clear. Thank you for the answers.
Operator: We'll go next to Leonardo Olmos at UBS.
Leonardo Olmos : Hi, good night, everyone. So, I've got a couple of questions. So, first, the macro situation in the U.S. with the tariffs, if you could discuss a little bit what are the sentiments with the companies you discussed? How are they feeling about their IT budgets and their willingness to prioritize front-end type of solutions or back-end or cloud migration? So, how are you pitching to clients in this context? I think I'll get to this question. Thank you.
Ricardo Sodre : Hi, Leo. Thanks. So, speaking about macro more broadly, and then we can talk about the U.S. and tariffs. So we see VTEX is well positioned to drive the evolving global trade landscape, despite the shifting trade tariffs, currency fluctuations, and supply chain realignments. If you look at our robust performance in Q1, highlighted by the 17% growth, year-over-year and FX neutral on the GMV side, and a healthy subscription revenue growth of 15%. It underscores VTEX’s resilience and adaptability during this dynamic market condition. The current macroeconomic environment has prompted many enterprises to reassess their supply chains and seek more agile, cost-effective solutions. Although these increase and create volatility and impacts that are hard to predict and forecast, so far Latin America has been less impacted than other regions. And historically, challenging economic periods prompt enterprises to reassess their technology infrastructure, emphasizing cost efficiency, flexibility, and rapid time to market. And VTEX Commerce Platform is uniquely positioned to meet these demands, offering a comprehensive solution that supports operational agility and resilience. With this context in mind, we are pleased with Q1 performance, particularly in the context of ongoing macroeconomic volatility. Our results came in the top of the subscription revenue guidance range, with margins improving significantly, reflecting consistent execution across the business and aligning with the expectations we outlined last quarter. When we issue our outlook, we also took a balanced view, factoring persistent consumption headwinds alongside the operational momentum we are seeing across the company. That balanced perspective remains intact. Having said that, if we look at April, since there has been more movement in this macroeconomic front in April, April has exhibited increased volatility, with stronger performance in the first half, followed by a softer second half. The shifting Easter seasonality from Q1 last year to Q2 this year has made it more difficult to extrapolate underlying trends, adding uncertainty around the timing of customer goal lives and the trajectory of consumption. So, against this backdrop, we are maintaining our full year guidance range. While Q1 results were solid on the top of the guidance, we believe it's prudent to keep our outlook unchanged, given the evolving conditions observed early in Q2. And regarding Q2 guidance, we are maintaining the same midpoint of 14% we issued for Q1 guidance. The slightly wider range of 3 percentage points for Q2 versus 2 percentage points previously for Q1 reflects increased uncertainty stemming from this heightened global market volatility and less visibility into future GMV performance. If we were to adjust for the Easter calendar shift, which fell in Q1 last year and Q2 this year, the underlying trends suggest both quarters, Q1 and Q2, would reflect a similar growth profile, reinforcing the stability of our underlying performance. And then, more specific on the U.S. and tariff impacts, we have a small market share in the U.S., so we are less exposed to these macroeconomic movements. It's more of a micro story than a macro story, but we remain very close in observing these shifts and how we can position ourselves. And in the end, we continue to focus on what we can control, meaning adding value to our existing customers by helping them accelerate their sales efficiency, attracting new customers, and continue to evolve with product innovation and platform expansion initiatives while keeping a disciplined approach to cost and expenses.
Leonardo Olmos : Thank you, Sodre. I'm glad I stayed with just one question. Very, very good answer. Have a good night.
Operator: We'll move next to Maria Infantozzi at Itau.
Maria Infantozzi : Hey, guys. Can you hear me?
Ricardo Sodre : Yes, we can, Maria. Yes.
Maria Infantozzi : Great. Thanks for taking my question. I was wondering if you could explore a bit about the subscription revenue build-up, especially per geography and per category. It came above our expectations in the top of the guidance, and I was wondering if I could get more color on how the productivity gains of clients in Brazil are evolving and what are your expectations moving forward, especially for Brazil as well. Thank you so much.
Ricardo Sodre : Great. Hi, Maria. Happy to start yours and others. Feel free to chime in. We don't open up a breakdown by geography or by category on a quarterly basis. We do this on an annual basis, but happy to share some qualitative color. As we mentioned when we published Q4 talking about guidance for Q1 and for the year, we are taking a more measured approach on the same sort of sales given higher interest rates in many geographies and heightened macro volatility. We are working very hard to implement the customers that we signed last year to put them live. These customers have a range of different categories. We mentioned a few customers that went live this quarter, a highlight of Americanas in Brazil. Brazil is helping the growth of the company with these new customers going live. Also, we know the U.S. and Europe as most of the contribution comes from adding new customers to our platform and increasing our growth. No relevant highlights or lowlights versus expectations, I would say, that we laid off last quarter.
Maria Infantozzi : Great. Thank you. If I could make another question related to the retail ads media business. Can you please comment a bit more on the economics of this business and how it is embedded in the 2025 guidance? Thank you.
Geraldo Thomaz Jr.: So, thank you, Maria. The business itself is very material right now, but we are very confident that we are doing the right things to make a material business inside VTEX in the near future. The business is connecting our existing customers, let's call it the publishers, to advertisers so they can have a new media to advertise, the media that we call retail media. Retail media is advertising using the first party data of the publishers, the merchants, and our customers at VTEX. This is like a network business, and we're very strong on one side of the network. Because we're strong on one side of the network, we are ramping up very fast the other side of the network, the advertisers. After the acquisition of Newtail, we can say that we have almost 400 advertisers already doing advertising in our network. This combined with our hundreds of publishers, can give us a competitive edge and a very good positioning to help and to monetize all the inventory that the retail can sell to the industry, to the manufacturers, to their suppliers.
Maria Infantozzi : Great. Thank you so much for the answers.
Operator: And that concludes our Q&A session. I will now turn the conference back over to Geraldo Thomaz for closing remarks.
Geraldo Thomaz Jr.: Thank you for the great questions. To close, I want to reiterate the confidence we have in the trajectory we're building at VTEX. We started the year with solid execution, growth, profitability, and free cash flow in a sizzling soft quarter. This performance reflects not just the short-term wins, but the strength of the foundations we've laid over the past year, built on discipline, resiliency, and clear strategic direction. We're gaining meaningful traction across regions, winning and expanding with enterprise customers who choose VTEX not just for technology, but for outcomes, faster time to market, improved margins, and simpler operations, among many other reasons. As we continue to evolve from a platform into a comprehensive commerce suite, we laid the groundwork for a future shaped by intelligent automation. We are confident that VTEX will remain at the forefront of digital commerce transformation. We're excited by what's ahead. We'll continue to execute with focus, scale with discipline and purpose, and deliver long-term value for our customers, partners, employees, and shareholders. We're just getting started. Thank you again for your time and partnerships. We look forward to speaking with you in our next earnings call. Have a great week.
Operator: And that concludes today's conference call. Thank you for your participation. You may now disconnect.